Mark Blair: Good morning, everybody. I'm Mark Blair, the CEO of the Mr Price Group, and thanks for joining us while we take you through our interim results to the 27th of September 2025. I'm going to be talking a little bit about the operating environment. Praneel Nundkumar, the CFO, will take us through the detailed group performance, and then I'm going to share the longer-term thinking with you and also the short-term outlook. So moving into the operating environment. And I think there's already been much said about this. There's been other retailer presentations. So I probably don't have to say too much except to say I think these graphs tell the full picture. Since COVID-19, there's been a prolonged period of negative real wage growth, rising debt service costs and obviously, inflation has been more elevated, but it seems to be improving now. But if you look at that graph on the left-hand side, there you'll see the negative wage growth in 2022 and 2023, started picking up a bit thereafter, but all negatively indexed to the base of 2019. And what happened during that process over that time frame is that there was an access to debt of those consumers who could. And therefore, on the right-hand side, you see the debt service ratio going up as well. It's great to have a little tick down towards the end there going into 2025. And we're hopeful that when we get to the outlook and the shorter-term future discussion that, that starts to trend in the right direction. But I think the picture here that it tells is looking at what's happened to general wages and wage increases over the period, just relative to the cost of living, many of the items that make up the cost of living have increased at a higher rate than people's wages. So there's some negativity in that. I think the good news is that when we start looking out towards the future, some of these things are starting to turn quite nicely. Looking at the consumer spend and behavior. And of course, the 2020, 2021 part of that term is not that relevant. It's a COVID year and it's a bounce back. But you can just see what happened to total household expenditure over the period and 2.6%, 0.2% and 1%, I think, also tells the picture. Certainly, what we've seen as retailers is that retail patterns have been very erratic. So I'm talking about monthly performances, very dependent on what's happened to timing of holidays, et cetera. And certainly, we've seen the impact of around pay days, very strong performance. And as it gets further away from pay days, then performance tends to come off. So very erratic in that front. And of course, what we're living with is a scenario that is spending is one thing. I suppose discretionary spending is another and discretionary retailers have also had to deal with the threat of the online Chinese retailers and online gambling, but just to add a little bit more insight into that. Certainly, the statistics that we've got show that the international online players have been losing market share for a few quarters now, and that was on the back of regulation change. So that's a positive for us. And then I think with online gambling, there's been quite a few reports that I've read. And I guess some of them have got divergent views as well. In the one report that I read, it did refer to that sometimes the statistics aren't that well understood. And it depends what's in the numbers because to some extent, there could have been where online gambling was illegally taking place offshore and has now been localized and included for the first time, that could be a factor. And the other factor is that although one of the figures quoted was total wagered value of ZAR 761 billion, there was a view that, that includes seed capital and winnings reinvested and that, that seed capital is probably around ZAR 115 billion versus the ZAR 761 billion. The net losses at the end of the day, I've seen figures of ZAR 36 billion, ZAR 29 billion coming from online, but it's the incremental change year-on-year that in 2025 is estimated to be about ZAR 15 billion. That's the worrying part is that jump. And of course, at this point, we also don't know how the accessing of two-pot retirement funding aided a short-term diversion into gambling. We'll have to see how that settles down. But I think the point that I also want to make is that as retailers over the years, we've had to face many, many disruptions. And whether you're looking at the 5-year history or in fact, going much earlier than that, the introduction of cell phones was a good example. These are all bumps that we've had to overcome in the past, and we'll certainly make a plan to make sure we manage these ones as best we can. Looking at Mr. Price's sales growth versus the market. Obviously, in this graph, Mr Price Group is in the red bar. And what you see where you're looking at 2024, 2025 and then H1 and H2 in 2025 and H1 in 2026, Mr. Price consistently above the gray bar, which is the rest of the market. So I think just sort of concentrating on the short term for a moment, although, of course, we'd like the 5.5% to be a lot higher, what is absolutely not negotiable for us is the quality of those sales, and we're not after growing market share at all cost. We have to grow profitable market share, and that's what we've done consistently, very, very important for us. Also want to just stress, and we'll talk a little bit later about it as well, is that as we -- in H2 now, we are up against a much stronger base. I've spoken about the two-pot hitting there and accessing that retirement funding really boosted spend last year, kicked in, in October. And just from a monthly trading perspective, we had a really strong run up until February. So the base is very high. And I think that's probably the timing going into 2026 that the two-pot effect should be out of the system, and we can see how we're trading relative to a much cleaner base and therefore, have a much better read on the health of the consumer. But very pleased that for all those reporting periods, comfortably above our peer set with -- and I just want to stress the point again, with profitable market share gains. And I guess at the end of the day, this is the kind of picture that we strive for. And it's not myself as the CEO or Praneel as the CFO, managing this from the top. I'll get into what makes up the Mr Price DNA a little bit later. This is a process that's alive in our business and there's great alignment on it in our business. So shout out to the teams that deliver these, but I must say it's not a fight to get the shape done. So very pleasing that there's been a translation of positive top line growth that we've kicked on in the GP percentage, managed overheads and actually come up with a HEPS growth of 6.5% and then maintained our dividend policy as well. Also cash nicely up at just over -- just around ZAR 3 billion. I did mention the word consistency a bit earlier. That is something that we do strive for as well. And normally on graphs, we like to be red, but in this case, quite happy to be black. And the fact that for the last 4 reporting periods, all our numbers are in the black, I think that's the objective that we set out for. So consistency through merchandise execution, through cost savings, there's a lot of discipline that happens in our business to manage that outcome. So although those figures for us are in the black, of course, we'd like them to be higher in scale. But hopefully, that's the last slide that I'm going to talk to when we're starting to see green shoots out there that could start shaping the trajectory of those black lines here to hopefully what could become a steeper curve. I think we all look forward to that. But I think just relative to what's happening out there, the market is extremely promotional. You've seen what's happening to gross margins across the sector and to come up with another consistent performance relative to that market, I've got to be pretty satisfied about that. I'm now going to hand over to Praneel, and he's going to take you through the detailed earnings.
Praneel Nundkumar: Thanks, Mark. Good morning to everyone joining us online on the webcast this morning. I'm pleased to present to you the Mr Price Group results, the interim results for the 26 weeks ending the 27th of September 2025. As you would have gathered from some of the slides that Mark presented just now, the first half was quite a challenge in terms of the operating environment that we had to deliver results in. Consumer confidence remained negative in the first half, and you would have seen that household expenditure growth was subdued. At our last results presentation in June, we did say that in an environment like this, our focus was on ensuring that sales would continue to grow ahead of the market and that, that would come at higher GP margin gains. I'm pleased to report back today that that's exactly how the first half transpired. Taking a look at the income statement. Revenue for the first half grew 5.4% to ZAR 18.5 billion, driven by retail sales up 5.5% ahead of the market's growth of 5.3%. Retail sales was impacted by comp sales growing 2.1%, up from 0.4% last year, and weighted average space growth grew 3.5% due to the addition of 91 new stores in the first half. Gross profit grew 6.3% to ZAR 7.1 billion, creating a nice positive wedge to sales with GP margins growing 30 basis points on last year. Expenses were well controlled, growing 5.6% to ZAR 5.9 billion, and operating profit grew 5.7% to ZAR 2.1 billion. Net finance expenses decreased 4.9%, and that was due to the interest earned on the positive cash balance in the first half, offsetting interest expenses coming in at ZAR 297 million, down on ZAR 313 million last year. This assisted the profit before tax number growing at 7.7% to ZAR 1.8 billion and profit after tax grew 7.3% to ZAR 1.3 billion. Profit attributable to equity holders of the parents were up 6.7% to ZAR 1.3 billion. And as Mark mentioned earlier, HEPS was up 6.5% for the first half. In summary, even through the constrained trading environment and consumer challenges that we spoke about, our management team was satisfied with delivering operating leverage through GP gains and strict cost control. Moving on to the segmental performance. The Apparel segment, which contributed 78.5% of retail sales grew 5.3% in the first half. This outgrew comparative markets whose sales grew only 4.7%. The Mr Price Apparel division maintained market share in the first half and expanded GP margins despite the market being highly promotional, resulting in an operating profit growth for the sector of 12.3%. As you'll note from the pie chart on the left, the Mr Price Apparel business contributes 42.6% to total sales, and it's really pleasing that on a 12-month basis, the division gained over ZAR 200 million in market share. The Studio 88 business also delivered a solid margin-accretive sales performance, and I'm very pleased to report that the Power Fashion business reported its 14th consecutive quarter of market share gains. Comp sales were up 1.7% for the sector. Unit growth was up 2.4% and the sales density just under ZAR 38,000 per square meter for the apparel sector. Moving on to the Homeware sector, which contributes 17.7% to total retail sales. Sales in this sector were up 5.1% with healthy comp growth at 4.3%. It was pleasing that operating profit in the sector also grew 12%, driven by all divisions expanding GP margins and managing costs really well. Unit growth was also up 2.6% and inflation was up 2.4% with sales density just under ZAR 30,000 a square meter. I must make a mention of the Yuppiechef business, who reported double-digit sales growth in the first half and continued to gain market share for 18 consecutive months now. Having a look at the Telecom segment, which now contributes 3.8% to retail sales, up from 3.6% last year, and this came through from retail sales growing 12.4%, consistent double-digit earnings growth from this sector over the last few periods. This also was positively impacted from market share gains of 50 basis points per GfK in the first half. Operating profit grew 16.8% on last year, and comps were slightly down at minus 1.9%, but unit growth was up at 4.3%. The Mr Price Cellular stand-alone stores grew by 12 stores in the first half, taking the total stores to 73 and 481 combo stores across the business. Moving on to space growth now. The group ended the first half on 3,100 stores in the first half, a total of 91 new stores for the period. As you can see, a lot of this growth coming through from the apparel sector, where the Studio 88 chain grew 42 new stores across its 5 trading businesses with Power Fashion growing 11 stores and Mr Price Apparel and Kids growing altogether in 11 stores. The Homeware segment also delivered 8 new stores for the period. And as I mentioned just now, the cellular business grew 12 new stand-alone stores. Weighted average space growth at 3.5%. And really just wanted to show you the table on the left -- I'm sorry, the right at the bottom that over the last 4 years, we've averaged just under 200 new stores per year. And even for F '26, you will see on the red bar graph that we're on track to deliver 200 stores this year, another 109 in the second half. Our management team are also very satisfied with the return metrics on new stores. These continue to exceed the internal thresholds that we've set for new store CapEx. Moving on to the slide that you all have been waiting for, the gross profit analysis. Group GP grew 30 basis points to 40.0% in the first half, up from 39.7% last year. As you can see from the slide, these GP gains were noted across all trading segments despite the highly promotional environment by competitors. The margin gains ensured that we had a smooth transition out of winter into fresh inputs into summer and spring merchandise. The Apparel segment, which grew 30 basis points was driven by the 2 largest divisions, Mr Price Apparel and Studio 88 and further margin recovery in the Homeware sector by 20 basis points ensures that the Homeware sector is on track to deliver their medium-term target of 41% to 43%. And you'll note that we did increase this target in June, so a higher target, but we're comfortable that they are in the range. The Telecoms margin grew 60 basis points, both for cellular and the mobile business, aided a lot by the transition into the private label devices that we've introduced, which aids the margin growth. We're expecting to be within the medium-term target ranges in the second half despite a strong base. A big focus area for me in the first half and for many of our teams, as Mark mentioned, was managing overhead costs in the environment that we spoke about. I'm pleased to report that total expenses grew 5.6% to ZAR 5.6 billion due to stringent and active cost management by our teams, which has now become quite a cornerstone of our value retail model. Our teams are agile at being able to respond when the sales calls are different to expectations. Depreciation and amortization grew 5.5% to ZAR 1.5 billion and employment costs, while growing 11.1% was impacted due to some credits in the base, prior year base effects from LTI schemes that were forfeited due to performance criteria not being met in the previous year. Excluding these credits, employment costs were up 8.6%, which includes the annual increase that we did together with 91 new stores, adding weighted average space growth. Occupancy costs were up 4.2% to ZAR 566 million and other operating costs down 3.1%, impacted by foreign gains -- ForEx gains in the first half compared to ForEx losses last year from our African territories that we trade in. Excluding these ForEx gains and losses, operating expenses were still only up 1.9%, which talks to the effectively managed overhead costs in the business. Moving on to operating margin. Operating margin grew 10 basis points to 11.5% compared to 11.4% last year. And you will note that all trading segments expanded operating margin due to a combination of the GP margin gains that I spoke about earlier and together with efficient cost control. You will note on the slide that the group -- op margin grew at a lower rate than the trading segments, and I must make a comment that you must tie that back to the previous slide where I spoke about the LTI base effects credits in the base, together with the fact that the group growth is impacted by central costs that don't sit within the divisions. Also to note that the H1 margins are seasonally lower than H2, and we continue to track into our medium-term target ranges for op margin as we look forward into the second half. Moving on to the balance sheet now. Also pleased to note that the gross inventory balance grew only 4.5% on last year. We exited winter cleanly, and that really goes out to our management teams and our merchant teams who made sure that we managed stock efficiently and worked very hard in the first half to get this outcome. Together with improved port operations, reducing the unnecessary stock buffers that we had to place into the supply chain in the previous year. Trade and other receivables were up 3.9%, and this really is a factor of credit sales, but also the lower repo rate compared to last year, which we'll talk about a bit more when we get on to the credit slide. And trade and other payables growing 21.7%, just a very big testament to the teams in our sourcing space who really work hard to get our suppliers on to supply chain finance, the program that we've spoken to you about before. It was pleasing to note that in the first half, we've been able to transition a lot of our international suppliers onto the program, which is the non-comp piece to last year. All in all, net working capital resulted in an inflow of ZAR 372 million, assisted the cash and cash equivalents balance growing to ZAR 3 billion, up 38% on last year and a very healthy cash conversion ratio of 81.8% with 0 long-term debt at the end of the first half. Having a look at the cash flow movements now at the beginning of the period, we started with ZAR 4.1 billion in cash. Cash from operations from working capital changes came in at ZAR 3.5 billion. We just spoke about the working capital improvement of ZAR 372 million and net interest received, as I mentioned, on positive balances, ZAR 322 million. From an investing perspective, we spent ZAR 590 million in terms of PPE and intangibles and the large outflows in the financing space relating to dividend payments in the first half of ZAR 1.5 billion. We also spoke to you about the acquisition of the Studio 88 tranche of shares of 9% for ZAR 770 million and then the lease liabilities of just under ZAR 1.6 billion to end the first half on just under ZAR 3 billion in cash. Moving along to CapEx. Capital expenditure in the first half came in at ZAR 574 million, almost 50% up on last year. And for the full year, we're still anticipating to get to ZAR 1.5 billion in terms of CapEx. But as we've noted previously, this comes through due to the investment into the supply chain program, the Gosforth Park DC. That project is on track for delivery within budget by September 2026. This is due to the investment to support future sustainable growth for the business and further mitigating risks through the multisite strategy. You'll also note on the slide that store CapEx came in at 43.6% of the total CapEx spend. This talks to our investment into the store portfolio for new stores, revamps and relocations, expansions also. Moving on to the credit growth performance. Credit sales grew 4.3%, slightly behind the cash sale growth to ZAR 2.1 billion, now contributing 11.8% of total sales. Most of the credit sales that we saw came through from existing account holders. And you will note that we've been talking about the approval rate for the last few cycles, and I'm pleased to report that the approval rate came in at 22.6%, 360 basis points ahead of last year's 19%. This has been quite a big focus for us in the first half and will continue to be in the second half also. We've also just noted the TransUnion Consumer Credit Index, while you see improvements coming through from 2023 into 2025, you see the little dip at the end of the red line now trending downwards, really giving an indication or a data point around consumer credit health in SA. The debtors book grew 5.5% to ZAR 3 billion, and the net bad debt ratio came in at 8.9%, slightly up from the 7.8% in March, but due to the deteriorating consumer environment that we spoke about earlier. The net bad debt book ratio still remains low relative to the sector due to our strict affordability criteria. Impairment provisions at 13% was slightly up on March -- slightly down on March's 13.2%, but we're very satisfied with the coverage ratio on that provision. Thank you very much. I'll now hand you over back to Mark, who will take you through the strategy and the outlook section.
Mark Blair: Great. Thanks very much, Praneel. I often get questions and in fact, one of the reasons that we've set out the results presentation in this manner as to what is it about Mr Price that you would think is different? What is our secret sauce? And what are the things that lead to good performance and consistent performance. And I think the short answer is there's no one single thing, but it's a combination of things, and it's suppose the magical way that these things all come together. I'll go through some of the individual slides, but in many respects, I'll let you just read and absorb it. But these are the items that I'll cover. The diverse portfolio of our brands, differentiated fashion value merchandise, and that's where it all starts and it's critical to hold on to that. The trusted brand on the 40 years that we've spoken about, our Red Cap culture, which really is a differentiator, tried and tested processes over the years that we've refined, but we rely on, supply chain agility, a business model that's fit for purpose and also a business that technology has a big part to play. So if I just start off on just looking at the South African business and exactly where the consumer profiles are made up. What you can see there is all the income levels for consumers and that red block sets out exactly where the majority of the population falls in South Africa. I'll let you read those stats on the right-hand side as well, but the first point that I want to make here is that we've got businesses that span this. So we're not all contained in the red block, but we're very well represented there. But of course, we've got some of those divisions that operate within that do access clients outside of that red block. And of course, we've got businesses that solely target or mainly target people outside of that red block on both sides, in fact. The way to show that a little bit better perhaps is then looking at those brands individually. And the 2 that I was saying a little bit earlier is outside of the red blocks would be Power Fashion on the left-hand side, that services the low-income consumer to Yuppiechef on the right-hand side, who on average services a consumer earning well over ZAR 1 million per annum. But if you see those businesses and the spread that they've got across income levels in South Africa and the amount of reach that they've got within those particular brands, I think that's certainly part of our success. And that you all know about the investment matrix that we devised many years ago that was designed to make sure that we are bringing better representation to the income levels that we previously thought we are underexposed to. Being leaders in differentiated fashion value, as I said, was an absolute key and the most important thing to us. It's what gets us our customers, what keeps us our customers and what does set us apart. And the way we always look at it is by plotting it on the fashion value matrix. So it's important to note that Mr. Price doesn't always be the -- try and be the cheapest because cheapest is based on price. We know that there's a lot more things that go into customers' purchasing decisions, and those things start going into the quality of the products, the level of fashionability, et cetera. So if you look at that fashion value quadrant that you can see Mr. Price's position there, that's what we protect at all cost. Yes. And you can see that on the right-hand side, Mr. Price Apparel leads the fashion value matrix ahead of some of the more recent competitors and existing competitors. Having been in business for 40 years now, I think it's important to note that the accolades that you can see here aren't recent. They're not 1-year wonders. Many of these have, in fact, been accolades that we've achieved year after year. Mr. Price Apparel, Mr Price Home and Mr. Price Sport holding the highest brand equity in their respective sectors. Mr. Price Apparel remains the most shopped apparel retailer in South Africa with 3.5 million shoppers. Mr. Price Apparel was voted the coolest clothing store in South Africa again, and Mr. Price Apparel holds a high share of wallet in the market, too. I said that Red Cap culture was something that I really believe is a differentiator. And I suppose that permeates our business. Started off with the founders and the foundations that they led -- that they made. And it's obviously got huge roots inside our business, but extends outside of our business, too. But I think really what it starts off with is a team that is passionate about what they're doing, a team and a young workforce that takes responsibility and ownership for things and a team that's aligned. So when I was saying a little bit earlier that when times are tight, we call code red for overhead management. We don't have to explain it. People know and they get on with it. But it's a team that's aligned in all the big objectives that we're doing and that makes management's team and the broader management team, their jobs a lot easier. There's certainly an extremely strong performance culture and the reward structures that we've got are also aligned to performance. We deal with each other in an environment of mutual respect. And if you ask anyone, are they part of a Red Cap family, the answer would be absolutely we are. So that's all great, and it's the way that we interact with each other internally. As I said, that also then externalizes itself. And one of the things that is really, really important to us is that we speak openly and honestly with the investment community and in fact, all our stakeholders and that we've developed trust just as we've developed trust internally with one another. So that Red Cap culture is something to preserve at all costs as well. We've spoken about our tried and tested processes over the years. This is something that works really well for us. It's what management teams rely on when they're back turned and they know that the rest of the business is focused on what they're doing because there's guidelines in place and performing very well. And that starts with the in-house trend departments. It's how we test merchandise, how we test concepts, how we've introduced tech into the business, talks to the agility of our supply chain and also how we allocate merchandise to stores. So just on that, just to give you a little bit of elaboration, there's an initial allocation of stock to stores. There's a degree of holdback in terms of performance, but the push of stock to stores is depending on what the demand is happening in those locations. So it's not just all a push. And by managing it the way we do, that's a very key way that we manage minimizing our markdowns and stock being in the wrong quantities in the wrong locations. Supply chain, we've spoken a lot over the last couple of years as well. It is a differentiator. We do have great agility without having to own factories. And you'll see by what Praneel just explained with our stock management and our inventory balances, climate like we've got, I think we did a very good job in managing that. And that talks to the -- not just the management teams and the merch teams, but it also talks to the supply base and our supply chain at large. So we've got the flexibility there. We've got, obviously, things that we do to gain access to fabrics. And so far, that supply chain works for us nicely, and that will continue to evolve, but there's a large degree of risk mitigation by relying on any one territory. And obviously, where we do source from depends on proximity to market, the technical attribute of the merchandise and the price of the merchandise as well. I said a little bit earlier that the operating model is one of a value retailer, and the reward systems are aligned to that, that if there's overperformance, then the reward really comes through. That also protects you on the downside when performance isn't there, then there's no performance pay. And when we are talking about the DNA of the business, one thing that is completely understood across our whole business is the saying that every decision every day must support our value routes. That's lived in the business. Highly cash generative, what we do internally with cash. Our investment decisions are always based on an ROI and a business case. And if you get the investment, then you're also responsible for telling us and proving to us that the business case has been achieved. Likewise, very focused on cash generation, and I'll explain some of our achievements on that, not just the recent cash flow, but when you just stand back and see what we've done over the last couple of years and expanded our business and still in the position with cash, I think that's been well thought through and well executed, I think. Praneel was talking about the way that we manage overheads. We've done that year after year. And as I said, there's a lot of discipline and there's a call to action that has proved itself it works. I think the next phase of unlocking efficiencies, however, isn't the more tactical nature of things, which we tended to do. But with all the retail chains and the size of the business and the complexity of the business now, there's a much deeper level of work to unlock efficiency and it's the reengineering, reconsidering the business. So I've just recently launched a program to do exactly that. It's going to be Exco led. There's very senior members of our Exco team that are going to be heading up the project. And the brief is really if the Mr Price Group didn't exist and we are starting it today, how would we be shaping that organization. So it's not something that results are going to be focused on getting into the short term, but it's taking a long-term view of the business. And if we can get efficiency that way with our cost management that we currently do, and an environment that has got this healthier consumer behavior or environment, then I think that's the thing that's going to tick us up going into the future. We've also spoken -- in fact, we spoke at the last results presentation about being a data-driven organization. I won't go into everything here. But then in that middle block, you can see some of the -- how that's translated into actual statistics. Number of information dashboards, we've got AI and ML models deployed into the business, man hours saved through automation. One of the things that we're going to be focusing on is not necessarily implementing a CRM system, but making sure that we've got access to a lot more customer data that will help inform decisions. So that's a project that's currently underway as well. Okay. I want to now go and just talk about -- maybe just start by taking a step back and explaining the strategic planning process over the last 5 years or so. Yes, it's something that I'm -- we're often asked what are we up to, what's shaping our thinking, and I think it's certainly the right time to do that because we've said to the market, well, I guess, for probably the best part of 2 years now, that we're doing research. There's a lot of effort going into it. And as we do that research, I suppose just the way that we landed the acquisitions as well, that there is a body of work to be done. But as we do it, we can't get it distract from running the business. And I think that we've proved that we've achieved that. When I was appointed in 2019 and obviously, early part of 2019, the latter part of 2019, COVID hit South Africa in 2020, and that was a great time for us to sit back and think about where we wanted to take this group. So we did some detailed research there, but it was -- I also had to evaluate the business that I inherited from my predecessor. And obviously, there were certain things that I wanted to change in that. But there are limits to what you can do. So my initial priority was given that COVID was on the go and given that we were doing a lot -- or my plan was to do a lot to strengthen the inherent core structure of the business, and that's where the immediate focus went. So you had all known about the DC that we brought in, the ERP replatforming, et cetera. And overlaying all that was quite a significant change to our management team. So I had to be quite careful in what I introduced into the business, given what I've just explained and had to make sure that even in the case of an ERP, which is very time consuming, I wasn't being too demanding on the business whilst they were coping with all that change. So we had been through a process we had identified many organic concepts. And when I say many, there were numerous. And we ended up implementing Kids and Mr. Price Cellular. Kids was an offer that was preexisting, but how we were actually shaping it in the business changed. So those 2 took priority and now they're a ZAR 4.3 billion business. Simultaneously, whilst we are focused on building our backbone, whilst we are focused on these organic concepts, we actually had been through thorough market research. To cut a long story short, we acquired 3 businesses. And today, those businesses contribute to ZAR 11.7 billion turnover, which is 29%. The operating profit is ZAR 1.2 billion. And there, you can see the store numbers to date with a very healthy future rollout potential as well. So between 2019 and 2025, we invested ZAR 10 billion in CapEx. Our revenue went up from ZAR 22 billion to ZAR 40 billion, dramatically increased the number of stores. Our HEPS went up to ZAR 14.24, and we maintained our dividend payout ratio. I think to reflect on that and the achievement of that in probably one of the most tumultuous trading periods that I've experienced in business, to have acquired 3 businesses contributing that to our turnover. And as Praneel said, we've got about ZAR 3 billion of cash actually tells you the extent to which we've deployed the cash that is available to us and how we've executed over that period. So if you look at the group right now, I think we've got very strong bands. I've spoke a little bit about that, and we've got a great corporate culture. We've got a talented and ambitious team, and we're consistently performing. I said we'd like the numbers to be higher, but it's consistent and it's top quartile and top quartile metrics as well. But we are continually evaluating organic growth opportunities locally and acquisition opportunities. However, the bigger we get, and I think it becomes more and more difficult to identify other businesses that meet our capital allocation criteria. So when we're looking at South Africa, there's no doubt that we can still benefit from scale, and that is online growth, store growth, as I've spoken about. And I'm feeling very comfortable about the growth prospects relating to those 2 things. I've spoken a bit about the focus on the customer as well, the customer obsession and getting more data that will help us inform decisions that will benefit the customer and drive sales is a focus area and supply chain excellence is something that we are very focused on, too. The reengineering program that is about to start to look for efficiency that will -- my guess is it's going to take probably 3 to 6 months to really get to grips of what's in play there and therefore, the execution period thereafter. And something that we've handled, I think, very sensibly is selective integration with these acquisitions. So we haven't forced anything. Of course, some things became -- we were more urgent than others. But a lot of the integration now is really around supply chain and related activities, logistics, et cetera. So one of the things that we're actually going through right now is with one of our -- the chains that we acquired is ran a test on bringing them into our distribution network in a test area that's delivered exceptional results and that will now be rolled out across the rest of that chain. So that's -- it's an excellent example of selective integration. And of course, we're going to continue with the technology evolution and I must stress that whilst we're trying to reengineer and look for cost savings, this is an area that we'll probably seek to redirect money into technology to leapfrog even further. So how am I feeling about SA? I think I'm feeling very comfortable about the performance. I'm feeling very comfortable about our discipline and what we're aligned to run the business. And I think we've got adequate opportunities there to carry on growing the business. And hopefully, the economy will start playing its part and should paint a very good picture, which takes us into Phase 2 of the strategy. So if you just consider that we've got our group investment matrix in place in South Africa, we've got a well-established Exco structure. And I think we've been executing well. The business is in sound shape, as I said, but we've got to recognize that South Africa is a low-performing economy. If you look at the GDP growth, you've seen the reduction over the years to the low point there of GDP growth that was almost flat. The projection out to around 2030 still shows GDP under 2%. The projections I've seen to 2050 see it coming below that number by a bit as well. So -- and of course, with these projections, there's always the chance and it's probably the tendency that projections are never quite achieved. Sometimes they're too bullish, doesn't mean that we're not hopeful that the green shoots that we're seeing will translate. But of course, at these kind of levels, it's hardly a robust and a nongrowing economy the way that we would like it. So you do know about the existence of our Apex strategy team. That's been a dedicated team that's been in place for more than 2 years now. Whilst we are looking and elevating SA businesses, we also elevated our research to look for new areas of growth. And it's really around the long-term execution of a vision. It's not quick growth that we need to stick on. It's all about the long term. We've really unpacked the pros and cons of organic growth versus acquisitive growth, and there is room for both. But of course, there's different things to consider in each. And very importantly, we've been considering local opportunities at the same time as we've considered offshore opportunities. But just to say, just like anything that we've done and anything I've explained up until this point, we're a group that thinks very deeply about things. And certainly, our thinking has been multilayered and includes the use of third parties, advisers, country visits, et cetera, et cetera. So it's -- these layers all help paint the picture. The key outcome is, and this has been, as I said, multiyears work, is that key territories outside of South Africa have been identified. And by identifying those, we also consider all the key risk mitigation considerations. It's fair to say over the years, it's not just the last 2 years, of course, it's way beyond that, that we've had a look at or assessed many, many opportunities. And I'm talking particularly offshore now and the fact that we haven't landed any means that we've been very selective on what we're looking for. So -- and once again, it comes back to the principles that we're setting and do those businesses meet those or not. And I suppose looking at my responsibility as a CEO, I suppose all CEOs have got this responsibility. It's to consider the markets that you operate in. It's to consider growth, consider the risks of achieving that growth and ultimately adding shareholder value over time. So when we're looking at new territories, we are only interested in identifying sustainable regions for long-term growth. The market size, the ease of doing business and the competitive landscape within that region are all critical and will be evaluated. And of course, it has to have a stable macroeconomic and political environment and tailwinds for sustainable growth. And then lastly, it really doesn't help if you've -- if you've ticked some of those things that I've just mentioned, but the currencies all over the place were even weaker than the rand. Credit -- the rand strengthened recently, but obviously, we want territories that don't weaken that position. Looking at actual guiding principles rather than just territory now for individual considerations is the size of the transaction will be appropriately considered. Very importantly, we want to acquire on the merits of the target. The in-country management team is absolutely critical. They're the ones that have got to run the business the way they've been running the business with limited interference from us and our input would be strategic. And therefore, getting the right management team is probably you can't get beyond that into the next block if you can't give that a tick. The asset itself has to have very clear growth prospects, and we don't have any appetite whatsoever for a turnaround. And certainly, what we're looking for is that in terms of the company itself is that we would like that company to be a platform for regional growth. So I'm not saying an online platform or anything like that. I'm saying a management team platform that can do justice to a region instead of perhaps just the country that they're located now. And then, of course, you can -- all those things, I think, are quite obvious why we'd look for them. And then as a final piece, you also want to consider synergies, I suppose, both ways. And then lastly, you'd also want to consider what about our brands in those locations. But we wouldn't plan to lead in with our brands. We want to, as I said, acquire for the merits of the target and let that management team who knows that particular territory very well, assess our brands for suitability into the country. So a lot of thinking, a lot of progress being made on that front. And yes, I think it's been a very thorough process that we've been through over the last couple of years, and we'll continue to focus on. The outlook, which I was referring to quite a few times in the presentation. And look, I think the great thing is that change has to start somewhere. And if you had to look at the outlook that we're seeing now to perhaps a year or 2 ago, I think we're in a completely different position. We've got stable electricity supply. We've got improving port infrastructure. So from the infrastructural point of view, things are a lot better. And then also from where -- what's affecting the economy and the consumer, things are looking a lot better there as well. Rand has improved. We're targeting low inflation of around 3%. Interest rates have been declining, and they are forecast to carry on declining. So I think what I said a little bit earlier is that once we get out of this two-pot base, I think we're going to get a really good read on the health of the consumer. But obviously delighted at this point that things are heading in the right direction. And even GDP growth, even if it's only circa 1%, maybe 1.2% this year, it's also headed in the right direction. So looking good there. It's premature to say that there's been a consumer revival. I think the update from all the retailers is sort of proving that, that's not the case. But I think it could well be the case as we head into the new year, but we just got to get over this lumpy base. And as you know, we performed very well this time last year. In fact, it was only March that was a disappointing month for us. So a strong base up until the end of April -- up until the end of February. And then just in terms of trading post the end of September, retail sales were up 3.1%. We pointed out what the base was. It was 12.3%, which was high. But if you look at the individual months, the RLC for October has just come out. We obviously weren't happy with October performance, but we did gain market share, believe it or not. And the momentum going into November is much better. So we're back into that sort of mid-single digits, slightly above, which I think we'll take relative to the October performance. So quite happy that momentum is improving. Quite happy that as you reach out into the future, the economy and the consumer environment seems to be on the cusp of an improvement. So I think overall, we've got a lot to look forward to. Thank you.
Matthew Warriner: Good morning, everybody. Thank you for all of the questions that have come through. There have been a high volume of questions, so we're going to do our best to get through as many as we can in the time that we have remaining. I'm going to start off with some questions around operational performance. As Praneel -- maybe we start with you. With the sales environment softer due to the consumer challenges, do you have the same cost levers to pull in H2? Quite a few questions around H2 OpEx and the impact on the full year.
Praneel Nundkumar: Yes. Thanks for that question. I think we have demonstrated that cost control is something that's always top of mind for us. Just in terms of how we're seeing it playing out and maybe how you should be thinking about it is the medium-term target range that we had set. So we had noted in June that, that range was between 27.5% and 28.5% in terms of expenses to RSOI. Our focus is to come in within that range. Obviously, we'll try and manage as much as we can in the second half. And as Mark mentioned, post period trade, also a bit subdued, but gaining some momentum. So we're watching the sales growth quite closely. And as I mentioned, also, our merchants are reacting quickly when they need to, to manage inventory at the same time. So all in all, Matt, I think that the range is where we will most likely want to land up in, and that's what we're aiming for.
Mark Blair: I think just something to add there is that the base isn't a surprise to us. We always knew it was there. And therefore, anything that we also have to do on a cost basis, the thinking doesn't just start now. To some extent, we've preempted things. We've identified areas that we need to start pulling back, and that's all been set in motion.
Matthew Warriner: How should we think about management preference should demand be soft in the festive season? Are markdowns preferred during the festive season or rather than Jan, Feb to clear stock. A couple of other questions just around the high promotional environment in H1. Is promotion a seasonal thing that could impact H2 as well?
Mark Blair: Yes. Look, to some extent, we've got to concentrate on what we're really good at, and that's getting that fashion value equation right. But I must say, when the top line is not there in the market generally, the retail environment does become rather brutal. You've got heavy, heavy promotions. And of course, what that does do is bring higher-priced merchandise more closely still well above ours, but closer to our price. So that's not a great equation. But of course, we also know that competitors can't be living with this elevated stock position all the time. So when you go into December, the worst thing that I think that could happen is that you carry on your problem into the new year. So of course, seeing the trends for this year. We have updated our views on merchandise, on stock flow, on stock commitments. To the extent that, that doesn't play out, then, of course, you're going to be -- I guess, there's the threat of margins going against you. So we -- by track record, that's something that we got against at all costs. We try and manage as well we can. And I think there are very limited scenarios that you would be comfortable carrying stock into the period post December, but then it's got to be that you've actually acquired it with -- and there's no risk to the carry. So it can't be very seasonal, very fashionable stuff that's trending that might be out because you're just going to then have to deal with the problem even more severely in the new year.
Matthew Warriner: Thanks, Mark. I think you've covered the one major driver to GP performance in the second half. Praneel, maybe just to cover the second half of that, and I'll read out one specific question, but there have been several on this. If you could give some color on annual GP margin expectations. You mentioned in June several factors that could be supportive of H2 GP. Quite a few questions around the rand and input prices being better a couple of months ago, the impact into second half GP.
Praneel Nundkumar: Yes. Thanks, Matt. From a GP perspective, I guess you would understand that there are some supportive factors. So we called out kind of oil prices, cotton prices. We've seen where the rand has been kind of trending recently. The other big one also is shipping rates coming down. So the one piece that's also unclear, and it ties back to the comments Mark was just making now in terms of the second half and the promotional activity, what we have seen and you would have seen in the market is that when there's deep discounting in the market, it impacts and the reaction really then starts sitting in, in terms of where GP lands. So I think that there is some support for GP in the second half. I think what we need to watch quite closely is whether the market is as promotional as it was in the first half. But I think when I take the kind of high-level view, I think the important thing is those medium-term targets. So you'll remember in June, we said that for the group, the medium-term target range is between 40% and 42%, which is the same for the apparel sector and the Homeware sector is slightly higher between 41% and 43%. So we are aiming to land within those ranges more in -- aiming for the middle part of those ranges, but that's kind of what we're expecting or what we know at the moment.
Mark Blair: Of course, in an improving currency situation, you do have 2 choices. The first choice is to take margin or the second choice is to pass the pricing through. So without sort of revealing our hand at this point, there's going to be a combination of that, but it's very critical for us to keep an eye on what pricing and what relative value there is in the market so that we do keep our value proposition.
Matthew Warriner: And then just lastly, with regards to operating metrics, quite a few questions on central overheads and then a question specifically talking about op margin gains were healthy at a segment level. Can you give us some color on the dilution when looking at it from a group perspective? And yes, several questions just around the central overheads into the second half as well.
Praneel Nundkumar: Yes. Thanks, Matt. I think on the slide that when I paused on the op margin slide, I spoke about the fact that there are central costs sitting in the group line, which is not the same from a trading division perspective. And then on the overhead slide, I spoke about the fact that there's base effects of the LTIs that were forfeited in the prior year. So that really was the non-comp base effect. Also, when you look at the performance of the trading segments, you would have seen as I've gone through the segmental slides, you would have seen that the operating profit from the trading segments were quite healthy, which also means that from a group central cost perspective, there is an STI component based on performance that's also non-comp in last year. So those are the 2 key things that are sitting in that group central costs that then impact the group ratio compared to the divisional ratios. But again, the medium-term target range for op margin between 13% and 15% is what we're aiming for as we look forward into the second half.
Matthew Warriner: Okay. Just moving on to drivers of sales. The last 4 years has seen some aggressive space growth. Will you continue with this approach going forward? And just some questions as well as to what returns we would expect on space growth going forward?
Mark Blair: Yes. as Praneel was saying a little bit earlier, we've set internal thresholds roughly 3x our WACC. And look, I think if we landed at sort of space growth between 3.5% and 4% this year, that is going some, but it's a space that is working for us, as we said earlier. So to the extent that our actual store performances remain, then I'm very comfortable with continuing with store expansion. The question does become, does it become harder to find the quality space with not a lot of new property builds happening, that is always something that we'd look at. I would say we'd probably -- we'll go into the budgeting process for the new year shortly. In fact, it's underway now. But I'd probably say that it would be safe to sort of bet around space growth around 3%, maybe slightly lower. But of course, if we presented with great opportunities and we model them correctly and they're generating -- and on paper they're generating the returns, we mustn't be shy to take the good space. And the other thing is that it's not one chain we're looking for in terms of that space. So it's multiple chains that are performing that all have got the desire for the space. Our job internally is then to say how much capital are we putting into store growth because we also want to spend on revamps. And therefore, that limit that we place, which chain is getting the space. And of course, that then gets down to a couple of other factors, which includes store performance.
Matthew Warriner: It seems like Home is turning around with volume growth and profit growth. Would this be a fair assessment?
Mark Blair: Yes. I think the trajectory of Home, we've continued to see market share losses. So that is the one negative. But I suppose it was like we're discussing a little bit earlier around margins. We've had GP gains in the Home sector, and that's what it's absolutely all about. So it does show you that without achieving the top line that you want, and I'm not unhappy with the top line, but it could have been higher if we went and chase sales a bit more that we can still generate a good profit. So the home sector, in fact, all 3 businesses, Sheet Street, Yuppiechef and Mr Price Home, I'm very happy with.
Matthew Warriner: Praneel, just last one on sales drivers. The credit environment seems to have showed some steady improvements. Is there an opportunity to push the channel more into 2026, considering the lower net bad to book relative to the industry?
Praneel Nundkumar: Yes. I think the credit growth is always topical, but as we always say, it's not a big part of our business. We also noted, and you would have seen from the consumer environment and some of the data points around this challenge in the consumer environment, we're obviously trying to manage risk as closely as possible. So we noted in the first half that the approval rate was higher than last year by 360 basis points, so probably mid-22%. We most likely will expect that to continue into the second half. I think if the environment becomes more supportive, and we see the data points in terms of customer affordability and customer behavior from a credit score perspective being in line with that, then yes, that will be an opportunity for us. But again, not an aggressive growth for credit is expected, but we're watching the market and the consumer health and affordability very closely.
Mark Blair: Yes. Just to add to that, that consumer health is critical. We've got our own experience going back quite a few years now where we pushed credit into the market in the absence of improving credit health -- on the consumer credit health, and it actually counted against us. And the problem was that by pushing it too early, because you've got a situation where customers rehabilitate themselves, pay down some months, don't others, you've got this lump that moves through your system, and it doesn't just take 6 or 12 months because that's a credit term because of the rehabilitation, you're probably left with a mess in your portfolio for about 18 months. So really premature for us to think about pushing credit at this point.
Matthew Warriner: Praneel, just a balance sheet question before we move on to some capital allocation questions. With the improved port operations, are there more working capital benefits that come in relation to inventory days from holding less buffer stock?
Praneel Nundkumar: Yes. So we've been looking at this buffer stock quite closely in terms of port operations. We did note that there's been some improvement in the operations. And we did say even in June that we started to relax some of those buffers that we had in. So in terms of managing inventory to year-end, obviously, quite tight. It will continue to be quite tight. So yes, I think that from an inventory perspective, we're not foreseeing any additional buffers required in the second half, and we're quite comfortable with the stock levels as we see them play out. I mean the merchants -- other than just the first half, obviously, the merchants have been very busy as we go into the festive period now to manage the inputs and we're watching the sales also. So if those come off, then we can react quite quickly in terms of where the stock lands, but it's something that's in hand.
Mark Blair: I might just add there, too, that we've, for some time now, have been communicating our focus on cash flow and therefore, stock turn is one of those critical parts of that. So when you're in quite a tumultuous situation that there's supply chain issues relating to shipping and containers and vessels and everything that we've been through, it's quite hard for merchants to deliver stock turn improvements when you're building buffers into your processes, absolutely necessary buffers. But as that then reverses, our real objective of improving stock turns should then be executed.
Matthew Warriner: Okay. Moving on to some questions on capital allocation. I've been several questions relating to the current cash balance and share price and therefore, appetite for share buybacks.
Praneel Nundkumar: Yes. I think we've discussed before that from a share buyback perspective, we obviously have a framework that we look at in terms of a target share price, target P/E ratio in terms of how we look at leading indicators in terms of that opportunity. What we always come back to from a capital allocation perspective, though is what are the returns from the other avenues that we can deploy capital to. So we quite -- as Mark mentioned, in terms of the store returns, we're very satisfied with those store returns in terms of where the portfolio is delivering. So we find that a really good avenue to allocate capital to. And the other piece that from a capital allocation is quite key -- quite a big number. We spoke about the ZAR 770 million for the 9% acquisition of Studio 88. Remember, there's still 15% left. So looking forward, that's another big piece that also drives our capital allocation thinking in terms of how we deploy capital. And the dividend ratio -- dividend policy is a big one. I think our shareholders have come to love the kind of dividend flows that come through the 63% payout ratio. That's also quite a big consideration. And also just to note that this year, we said we were going to invest into the infrastructure of the DC. So you'll see that CapEx coming through this year and also into next year because that DC only goes live in September '26. So more CapEx allocated to that project to support growth in the future.
Mark Blair: Yes. I suppose the overall thing is use the cash or return it to shareholders either through share buybacks or through dividends. I think certainly what I was explaining around our strategy and our plans for the future, we've got more than enough plans to warrant keeping our cash flow now and to make sure that we deploy it in the best areas to generate future returns for shareholders.
Matthew Warriner: Okay. With regards to the strategy update, do you mean outside or inside of Africa? And would you take the MRP brand to them? Just some other questions relating to which countries offer the best upside with lowest risk. And then several questions relating to multiples, deal size, et cetera. So maybe, Mark, just what you can share now with regards to the question on markets and other information.
Mark Blair: Yes. I largely addressed, I think, most of those things in what I already said. I think the -- I'll go back a few years now. And I suppose at one point, there was always this hope of an expansion into Africa. That was the new frontier for a value retailer that seemed like it was an obvious place to go. But it is difficult to do business in some of those territories. And as a result, I said I think there's limited opportunities in SA. There's none that we've identified in the rest of Africa. So that's not really a focus area for us at all. I think it's premature at this point to start speculating on which other markets and territories and stuff like that. I think we've got to finish our work and then communicate at the right time.
Matthew Warriner: Great. So thank you very much for everybody for joining today. I think we've covered the main themes. There are obviously many questions in between on other topics. So I do have them and will reply. Otherwise, please do send them directly to me. We can either cover them via e-mail or in catch-ups over the next few weeks. Thanks very much for joining today.
Mark Blair: Thank you.